Operator: Greetings, and welcome to the Bacterin Second Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Rich Cockrell, President of the Cockrell Group. Thank you, sir. You may begin.
Rich Cockrell: Thank you and thank you all for joining us today for Bacterin's second quarter 2014 results conference call. With me on the call today are Dan Goldberger, Bacterin's Chief Executive Officer; and John Gandolfo, Chief Financial Officer. Yesterday afternoon Bacterin issued a press release announcing second quarter 2014 financial results reporting company revenues of approximately 8.9 million, this was inline with analyst estimates. Following remarks by management, the call will be opened to your questions we will expect the duration of the call to be approximately an hour. Now during the course of this call, management may make some forward-looking statements regarding future events and the company's expected future performance. These forward-looking statements reflect Bacterin's current perspective on existing trends and information and can be identified by such words as expect, plan, will, may, anticipate, believe, should, intends and other words of similar meaning. Any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties including those noted in the company’s risk factors section on annual report on Form 10-K and on the company's quarterly reports on Form 10-Q. Actual results may differ materially from those projected in these forward-looking statements. For the benefit of those of you who may be listening to the replay, this call was held and recorded on August 13, 2014, at approximately 10 am Eastern Time. Since then the Company may have made additional announcements related to the topics discussed herein. Please reference the Company's most recent press releases and current filings with the SEC. Bacterin declines any obligation to update these forward-looking statements except as required by applicable securities law. With that I would like to turn the call over to Dan.
Dan Goldberger: Thank you, Rich. And good morning, everybody. Thanks for joining us today to discuss our second quarter 2014 results. I will begin by providing highlights on the quarter and John will follow with a more detailed review of results. We're pleased to report a 7.5% year-on-year increase in revenues for the second quarter 2014, the third straight quarter of revenue growth. I joined back one year ago on August of 2013 because I believe our retentive medicine products are best in class and will grow rapidly with solid representation. Our revenue growth is, especially noteworthy because of the quality and sustainability of our sales this year. We have successfully transitioned our U.S. business to recurring revenues from end-user hospitals and will continue to invest in that sales channel. Our business model is based on measurable activities and metrics including headcount in field, revenue per headcount, number of surgical procedures in which we participate and revenue per procedure. During the quarter, we announced two new additions to the Bacterin team, Melanie Head joined us as Vice President of Sales on May 1, 2014, and Robert DiSilvio joined us on July 1, 2014 as President, with overall responsibility from marketing, sales and business development. These two key additions to the Bacterin executive team are charged with laying the foundation for a professional and productive marketing and sales department. They bring a combined 50 plus years of sales success steep with the culture of excellence within a variety of medical technology projects substantially larger than Bacterin is today. In turn and with their help, we have been aggressively recruiting sales management talent at the regional level from the industry stalwarts like Lanx, Biomet, Stryker, DePuy and others. The introduction of new sales management created some distraction in the second quarter and we have successfully transitioned through those challenges. We remain committed to our hybrid sales model, optimizing a highly trained and motivated group of full time employees, leveraged by manufacturers representatives that can cover larger geographies. Our full time employees carry quota and receive more than half of their cash compensation through commissions. Manufacturers’ representatives are in a straight commission on sales geared to reward growth. Many of the manufacturers’ reps carrying Bacterin products exclusively, while others are non-exclusive, meaning they may carry non-competitive products along side of Bacterin. In general, our full time employees are involved in managing and recruiting manufacturers’ representative partners and focus much of their efforts on new account acquisition and penetration, often coordinated with our national accounts initiatives. Our manufacturers’ representatives’ partners tend to be involved in account maintenance through their physician relationships. The two groups are trained and incentivized to work together in a highly complementary and synergistic way. As of July 31, 2014, we have 33 full-time employees in our sales function, 25 are productive meaning that they’ve been with the company for more than six months. We planned to grow to 45 full-time employees by the end of 2014 and increase to 50 employees in the first half of 2015. We have about 100 active manufacturers’ representatives and planned to increase that number to about 140 as we exit 2014. We model the business with a quarterly target of $250,000 of revenue per productive full-time employee understanding that each employee is responsible for a number of manufacturers’ representatives. You can see that we greatly exceeded that productivity in the second quarter of 2014 with more than $350,000 of revenue per productive employee. 50 productive full-time employees in the first half of 2015 given enough time to become productive should put Bacterin at $12.5 million of revenue per quarter as we exit 2015. The company has always differentiated itself with world-class science. We announced the publication of two peer reviewed articles in recent weeks, doctors Brigido, Galli and Bleazey published in The Journal of Foot & Ankle Surgery discussed the clinical performance of OsteoSponge SC in the repair of talus bone defects in ankle surgery. The results of which can be extended to knee surgery. The total estimated U.S. market for knee and ankle microfractures in 2014 is approximately 410,000 procedures an opportunity that lines up well with the distribution channel that we are investing in. Separately a study comparing Bacterin's OsteoSelect demineralized bone matrix study to autograft in an animal model was published in the Spine Journal. That study was performed by the integrated Spine Research Department at the Hospital for Special Surgery in New York City. The paper reported fusion rates that were statistically equivalents between Bacterin's product and autologous bone which is considered the gold standard for bone grafting procedures. The authors noted that fusion masses were more mature in the OsteoSelect DBM group in 12 weeks. Spine surgery is about two-thirds of our business and this publication is yet another tool that helps us convert spine surgeons to use OsteoSponge and OsteoSelect. We’ve increased R&D spending this year and new products will contribute to revenue growth as we enter 2015. We announced the launch of OsteoSTX in April 2014 and we have two additional product launches in the demineralized bone category scheduled later this year. We’re continuing to develop our go to market strategy for hMatrix, especially for plastic surgeons performing reconstructive procedures. Two of our field sales employees are now dedicated to the acellular dermis category in order to recruit investigators for non-inferiority study and to development reference accounts. If our efforts continue to be successful this year, we will proceed with a more substantial hMatrix initiative in 2015. Management is taking several steps to preserve the New York Stock Exchange MKT listing and further strengthening our balance sheet. At the close of business on Friday July 25, we initiated a 1 for 10 reverse split of our common stock. The reverse split reduced the number of shares of outstanding common stock from 55 million to approximately 5.5 million. On Friday August 1, we announced the offering of 1.14 million shares of common stock at $5.70 per share and warrants to purchase 571,500 shares of common stock at an exercise price of $7.12 per share. The gross proceeds of the offering were approximately $6.5 million with net proceeds of approximately $5.8 million. This cash in-fusion will be used for working capital and general corporate purposes, including the continued expansion of our sales force and increase consigned inventory to support new customers. Our financial results demonstrate continued improvement in a variety of metrics and ongoing discipline around operating expense. We currently believe that the company can be EBITDA positive with quarterly revenue between $10 million to $11 million, depending upon product mix. In addition, we believe we will be cash flow breakeven with quarterly cash receipts of approximately $10.7 million to $11.7 million also depending on product mix. Earlier today, we announced that Mitch Godfrey has resigned from the Board of Directors and the David Goodman, MD has been elected to finish his term. Mr. Godfrey has been with Bacterin for nearly a decade and his contributions were vital to building the company that we are privileged to work with today. Mr. Godfrey will continue as a consultant for the company reporting directly to me. Dr. Goodman has had a distinguished carrier at the intersection of medicine, technology and business. And we're very fortunate to have been able to recruit him to our team. I know that Dr. Goodman shares my enthusiasm to build the great company on the Bacterin foundation. I'll now turn the call over to John Gandolfo to further discuss our financial results.
John Gandolfo: Thank you Dan. I'd like to remind our listeners to refer to the second quarter 2014 earnings press release issued yesterday and also our Form 10-Q for the second quarter which will be filed later this week. Second quarter 2014 revenue was approximately $8.9 million, an increase of 7.5% compared to approximately $8.3 million for the same period during 2013. Sequentially, revenues remain relatively consistent with $8.9 million reported in the first quarter of 2014. Gross profit for the second quarter 2014 was $5.6 million or 63% of revenues and this compares to $4.7 million or 57% of revenues for the second quarter 2013. Over the last year we have improved our processing productivity resulting in the increased gross margin year-over-year. Sequentially, gross profit increased slightly from $5.5 million in the first quarter to $5.6 million in the second quarter, Gross margin in these quarters increased from 62% to 63%, respectively. This figure is within the company's previously stated range and expected gross margin of 61% to 63% for 2014. Second quarter 2014 sales and marketing expenses increased 4.8% to $4.4 million, as compared to $4.2 million for the second quarter of 2013. This increase can be attributed to our continued reorganization of the sales force headlined by the hiring of Melanie Head as VP of Sales on May 1st. For the quarter, sales and marketing as a percentage of revenues decreased slightly to 50%, as compared to 51% in the second quarter of 2013. In the second quarter, general and administrative expenses remained relatively flat year over year at $2.1 million. Sequentially, G&A expenses decreased approximately 9% from $2.3 million in the first quarter of the year. The company reported second quarter 2014 research and development expenses of approximately $322,000 and this compares to a $170,000 reported in the second quarter of 2013 and $255,000 reported in the first quarter of 2014. The second quarter 2014 loss from operations was approximately $1.3 million, a decrease of approximately 29% over the same period in 2013 when we reported operating losses of $1.9 million. The company defines earnings before interest, taxes, depreciation and amortization or EBITDA as net income/loss from operations before depreciation, amortization and non-cash stock-based compensation expense. EBITDA for the second quarter was a loss of approximately $770,000 a significant decrease from the second quarter 2013 EBITDA loss of $1.4 million. This compares to a first quarter 2014 EBITDA loss of approximately $715,000. Cash and cash equivalents and net accounts receivable were $7.9 million as of June 30, 2014 compared to $10.3 million on March 31, 2013. As Dan mentioned, the company announced the closing of a $6.5 million public offering on August 6, 2014. Net proceeds from new offering were $5.8 million. Pro forma cash subsequent to the transaction was approximately $7.8 million to $8 million. We believe the company is sufficiently capitalized to execute its operating plans throughout 2015 with the current capital resources. At this time, I will turn the call back to Dan for additional comments.
Dan Goldberger: Thank you, John. As I approach my one year anniversary with Bacterin I am pleased to report that we successfully corrected many of the operational issues evident when I first arrived. We are now positioned to grow the business again. R&D is pumping out new products and providing robust clinical support for our existing ones. Operations has ramped up our donor service activities and we secured new recovery partners. The company has gotten stronger each quarter as we have a higher quality recurring revenue base from end users. We’ve also taken measures to strengthen our balance sheet and of course we have new sales leadership that is even more optimistic about our future possibilities. Our management team and Board of Directors are committed to Bacterin’s growth as a leading regenerative medicine company and we have a very comprehensive and competitive product portfolio. Approximately 20% of the more than 5 million fractures that occur in United States each year are associated with healing difficulties. Demineralized bone matrix generated more than $400 million in the United States last year and is expected to grow at 4% to 5% per year. The combined U.S. market for orthopedic bio-materials for bone repair and regeneration is projected to reach an estimated value of $3.5 billion in the year 2017. Bacterin holds approximately 6.5% market share in the demineralized bone matrix category behind Medtronic, DePuy and Integra. Simply put, our goal is to increase this market share while achieving preeminence through superior R&D marketing and customer service. Given our breadth of market channels, a cellular dermis for plastic and reconstructive surgery in advance wound care is an additional $1 billion sales opportunity for our hMatrix product line. These are very large and addressable market opportunities. We have competitive products in all of these categories with new ones in the Bacterin pipeline. Our revenue growth strategy for 2014 and 2015 is simple; Deploy reinvigorated focused sales effort in our core DBM category to gain and secure market share; number two, develop new DBM products to be sold through our existing sales channels to capture additional market share; and number three, continue our careful investment in hMatrix to grow revenue in the acellular dermis category. Finally our investors have provided Bacterin with the financial resources to execute this plan. And I am confident in the team we are assembling at Bacterin. We want to thank all of our stakeholders for your continuing support. With that we’ll open up the call to questions.
Operator: Thank you. We will now be conduction a question-and-answer session. (Operator Instructions). Thank you. Our first question comes from the line of Matthew O'Brien with William Blair. Please proceed with your question.
Matthew O'Brien - William Blair: Good morning. Thanks for taking the questions. Again, I was hoping, we could start off with the sales force plans, a lot of good detail there, but as some of the numbers you’re providing for -- as we exit 2015, you’re talking about getting to some pretty meaningful market share levels in a fairly short amount of time. Can you just give us a bit more color granularity on why you have that level of confidence in being able to take that much market share away from some pretty big providers?
Dan Goldberger: So, thanks Matt for taking the opportunity to ask the question. As we study our distribution channel, we find that we’re very strong in a small number of cities and we have very large wide spaces where we just don’t have credible representation. We’ve had remarkable success where -- in just the last six months, where we add representation, recruit manufacturers’ representatives who have relationships with physicians. And we can start to grow business in different geographies pretty quickly, pretty efficiently. So, we really do believe that the business scales with productive headcount. And I think part income our challenge is to refine our hiring and recruiting capability, so that we bring in the right people, both at the employee level and at the manufacturers’ representative level, and we've also invested in our sales training and our clinical specialists support in the field. And so a part of our challenge is the logistics of bringing in new people, getting them trained, making them productive. Another opportunity for us is in the hMatrix category where we now have two full time people detailing the product and getting on the one hand our field sales folks trained and on the other hand working directly physicians to get them converted. So, there is -- devil is in the details Matt, which I think you understand. And the timing may not go as fast as we’d like but I am optimistic that given our early results in the first half of this year, we can continue to roll out the model.
Matthew O'Brien - William Blair: Okay. But just to be clear, Dan, I mean the sales force is as it’s set up now and as you're planning to scale it will be focused in certain areas of orthopedics rather than trying to sell the full bag with hMatrix in there?
Dan Goldberger: Correct. So, we have two full time people working on hMatrix. Everybody else in the sales organization is working on our orthopedic surgeons and neurosurgeons or doing spine procedures.
Matthew O'Brien - William Blair: Got you. And then you mentioned the new product flow, I mean when should we expect to see some of those and how much of the growth outlook of the business is related to new products versus just more blocking and tackling with your existing portfolio?
Dan Goldberger: So, the new products, we're really looking for revenue contribution from new products in 2015. And we will see that in our revenue per procedure metric because we will, if we do this right, our sales -- our field sales organization will be able to participate with more of our product in any given procedure. So, the two ways to grow the business are revenue per procedure and the number of procedures that we participate in. The new products will help us get in the door to recruit new physicians as well as increase the revenue per procedure where we already have business.
Matthew O'Brien - William Blair: Okay. And then just you have been pumping out a lot of data via various publications. Can you just give us a sense for the initial anecdotal feedback from some clinicians you have shown that to and how do you think that will factor into the selling process as we get into next year?
Dan Goldberger: So, Dr. Juda saw this paper at the end of last year, Dr. Cammisa’s paper from HSS that we just talked about, talk about the clinical equivalency, but really the superiority of our OsteoSponge and OsteoSelect in spine fusion. And I say superiority because the reference arm of the studies is autologous bone which requires a secondary incision and has a variety of other undesirable characteristics. So, the fact that we're getting clinically identical fusion rates compared to that procedures is very compelling to the spine surgeon community and it helps us with the physician preference discussion and it also helps us with the financial discussion at hospital administration, because we can make a value proposition to the purchasing organizations based on peer-reviewed publications as opposed to anecdotes. The Brigido paper that we discussed is a foot and ankle paper, but it's really a joint surgery paper and we don't do a lot of those procedures right now with the physician community help, we're getting more and more clinical support for participating in those procedures and that could be a substantial growth opportunity in extremities in 2015.
Matthew O'Brien - William Blair: Got it. Got it. Thanks very much.
Operator: Our next question comes from the line of Nathan Cali with Noble Financial. Please proceed with your question.
Nathan Kelly - Noble Financial: Hey guys, thanks for taking the questions. On the percentage of revenue per indication, would you -- is there a break out of that?
Dan Goldberger: For indication, no we haven’t been breaking it out. But I did mention that about two thirds of our business comes from spine fusion.
Nathan Kelly - Noble Financial: Two-thirds, right. And then on the sales force how many now and then how many do you expect at the end of the year?
Dan Goldberger: We’re at 33 full-time employees at (Technical Difficulty) July 31, 2014 and those employees work with about 100 manufacturers reps. Our goal as we exit the year is to be at 45 full-time employees and a 140 manufacturer reps. Now it takes -- there is another number that I threw into the script which is of those 33 full-time employees, 25 are productive meaning that they’ve been with the company long enough to have been trained and developed a funnel of business.
Nathan Kelly - Noble Financial: Okay. So, when you say full-time employees does that mean all of those employees are working on sales?
Dan Goldberger: Correct, fields, those are field sales employees.
Nathan Kelly - Noble Financial: Field sales, okay. And then so as far as you guys, you just raised cash what do you think that cash brings you to?
Dan Goldberger: So, we burned about $1.5 million in cash.
John Gandolfo: $1.3 million.
Dan Goldberger: 1.3 million?
John Gandolfo: Right.
Dan Goldberger: In cash in the last quarter. We see that number should narrow as our revenue grows and we continue to have discipline around our operating expense.
Nathan Kelly - Noble Financial: Okay. So and then as far as the debt goes, can you just give us an overview on what the situation there is with OrbiMed and going forward with that?
John Gandolfo: Sure OrbiMed we have a $24 million term loan outstanding with OrbiMed. OrbiMed prior to this offering was also our second largest equity shareholder. The $24 million term loan has a 7 year term, the first four years are interest-only payments. And the last three years are principal and interest payments.
Nathan Kelly - Noble Financial: Okay.
John Gandolfo: We are about 2 years into the term at this point in time, the base rate is 13% but if you go to our SEC filings at 10-K we have the details of the debt facility in our footnote disclosure.
Nathan Kelly - Noble Financial: Yes. I just wanted to know if there is any additional updates to covenants or anything like that?
John Gandolfo: No, what we did was last year we renegotiated the revenue covenants and brought them down substantially from where they were to a point where I think from a senior management team we feel real comfortable where the covenants are at this point in time. OrbiMed like I said they are our second largest common stockholder and they continue to be a huge supporter of the company.
Nathan Kelly - Noble Financial: Okay. And then maybe a question for Dan, on the current seasoned sales guys that you have out there or girls that you have out there, what’s been the feedback from them on penetration pricing and just feel your existing accounts and then trying to penetrate into new accounts?
Dan Goldberger: So pricing has not been an issue in the field sales organization, there are a variety of national accounts initiatives and regional IDN initiatives that we're working on where price does become part of the conversation. But on a day-to-day basis, we do not have to compete on pricing, we're very fortunate that way but we're always looking over our shoulders. In terms of working with existing customers to increase the level of business, we've had a lot of success and in places where we are working with a physician preference paradigm and we can do a couple of demonstration procedures with the physician, we have a very high degree of success in making those conversion steps.
Nathan Kelly - Noble Financial: Okay. Do you have a number or percentage of customer retention?
Dan Goldberger: That's a very good question and it’s something that we are just now starting to look into and I don't have a good number for you right now, but keep asking.
Nathan Kelly - Noble Financial: Okay. Alright, thanks a lot for taking questions.
Rich Cockrell: Christine, we have time for one more question.
Operator: Thank you. Our final question comes from the line of John Vandermosten with Singular Research. Please proceed with your question.
John Vandermosten - Singular Research: Thank you and good morning Dan and John. How are you doing?
Dan Goldberger: Good morning, John.
John Gandolfo: Ding well, thank you.
John Vandermosten - Singular Research: I wanted to ask first just about, just some strategic changes that maybe Robert and Melanie have made in their first few weeks months at Bacterin. If you can give us an idea some of the changes that they've tried to implement?
Dan Goldberger: The most profound changes have been around accountability and performance metrics. We’re growing up, if you will. And everybody is carrying a number and everybody has expectations for activity levels. And we're holding people accountable to that. And by people, I mean our employees as well as our partners that are organized as manufacturers’ reps. And so, it’s a discipline and accountability and recognition of a number that is -- performs the bulk of our early work.
John Vandermosten - Singular Research: Okay. And I guess some of those implementation metrics and what not contribute to I guess a little bit of slowdown in sales and something that may pick up later, is that part of the reason that the sequential trend was maybe a little bit slower than had been in the past?
Dan Goldberger: I think there is some just real life distraction. Folks want to know who the new boss is and they spend a little bit more time gossiping about that instead of covering cases. And that I believe we’ve worked all the way through that. We had a sales meeting in the middle of July where everybody got to meet the new management firsthand. And we came out of that sales meeting with a lot of excellent energy. And the pace of business is going remarkably well right now.
John Vandermosten - Singular Research: Okay. And then gross margin improved sequentially, year-over-year too but probably for (inaudible) reasons and I think that some [improved] processes were cited. Is that something that you expect to continue and maybe you can highlight maybe what some of those processes were?
Dan Goldberger: We’re guiding to 61% to 63% gross margins for 2014 and while there may be upside to that, we're going to stick to that guidance. Longer term, the acellular dermis product has a higher gross margin. And as that product becomes a significant revenue contribution, the company average will increase. But that's, I think that's an increase that you should look for in the second half of ‘15, not anytime soon. There will be some slight increase just from economy of scale as the business base grows larger, we observe overhead a little bit more efficiently but again, I don't think that will become material until the second half of ‘15.
John Vandermosten - Singular Research: Okay. And just on acellular dermis; is it easier to get a better gross margin on that just because it's easier to source the product?
Dan Goldberger: It has to do with the dynamics of the product and the channel that it goes into in the competitive environment in that channel.
John Vandermosten - Singular Research: Okay. And then just the last thing I wanted to get a better idea of is, you mentioned about the deficiency notice and the stock issuance. I’m just wondering with the recent issuance, how do we see November coming about when the NYSE, I mean MKT is looking for progress, what do you foresee, anything else happening before that point in time?
Dan Goldberger: So, we met with the NYSE in July. We are taking all of the steps that are within our power to take, to retain the listing and I'm optimistic that we're going to be successful.
John Vandermosten - Singular Research: Okay. Thank you, guys.
John Gandolfo: Thanks John.
Dan Goldberger: Thanks.
Operator: Our next question comes from the line of Todd Robbins with Robbins Capital Management. Please proceed with your question.
Todd Robbins - Robbins Capital Management: Well, good morning Dan.
Dan Goldberger: Good morning Todd. Thanks for listening in.
Todd Robbins - Robbins Capital Management: Just sort of a mathematical question. We’re going to end 2014 with 45 sales people, how many of the 45 do you expect would be in the productive category at that time?
Dan Goldberger: We should be at about 35 of them will have tenure to be fully productive.
Todd Robbins - Robbins Capital Management: So in the fourth quarter on average we should be looking at 35 or would that be an end of year number?
Dan Goldberger: No I think that’s a big target for the fourth quarter. 35 a good way to model it is 35 productive employees at $250,000 per employee in revenue.
Todd Robbins - Robbins Capital Management: So what do you account for the reasoning on the revenue per employee being so much higher in the second quarter and what’s the possibility that that might replicate itself, you should get out in Q3 and Q4?
Dan Goldberger: I think that $350,000 per quarter productivity is achievable. I think it takes a year to 15 months for a professional to get to that level of productivity. I am optimistic that with the professional training programs and the discipline that we’ve brought to our field sales function we can get to those productivity numbers sooner. But for modeling purposes we’re modeling it at $250,000 per head, I’d love come in at higher numbers.
Todd Robbins - Robbins Capital Management: Excellent. Thank you very much.
Dan Goldberger: All right. Thank you for your time.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for concluding remarks.
Dan Goldberger: I’d like to thank everybody for attending the conference call and for your support of the company. We are continuing to look forward to great things. Have a great day.
Operator: Ladies and gentlemen this does conclude today's teleconference. You may disconnect your lines at this time thank you for your participation and have a wonderful day.